Operator: Good day, and welcome to the Annaly Capital Management Fourth Quarter 2013 Earnings Call and Webcast. [Operator Instructions] Please note, this event is being recorded. At this time I would like to turn the conference over to Willa Sheridan. Please go ahead.
Willa Sheridan: Good morning, and welcome to the fourth quarter 2013 earnings call for Annaly Capital Management. Any forward-looking statements made during today's call are subject to risks and uncertainties, which are outlined in the risk factors in our most recent annual and quarterly SEC filings. Actual events and results may differ materially from these forward-looking statements. We encourage you to read the forward-looking statements disclaimer in our earnings release, in addition to our quarterly and annual filing. Additionally, the content of this conference call may contain time-sensitive information that is accurate only as of the date of this earnings call. We do not undertake and specifically disclaim any obligation to update or revise this information. Participants on this morning's call include Wellington Denahan, Chairman and Chief Executive Officer; Kevin Keyes, President; and Glenn Votek, Chief Financial Officer, Dave Finkelstein, Head of Agency Trading and Bob Restrick, CIO of Commercial Investment. I will now turn the conference call over to Wellington Denahan, Chairman and Chief Executive Officer.
Wellington Denahan: Thank you, Willa and welcome to the Annaly Capital Management 2013 fourth quarter earnings call. 2013 was not a good year for the mREIT. A cloud of uncertainty surrounding the timing and magnitude of the Fed pullbacks from the market and the potential impact that would have on book value plagued the sector for most of the year. Now with two tapers under our belt and a much more sober reaction to diminishing demand coupled with potentially diminishing supply, both the treasury and MBS markets have settled down. With tapering underway, monetary policy will now center on the forward guidance of the Fed fund’s target rate. The focus will remain on the timing and magnitude of the potential change in the cost of carry. The question now is, how much was economic strength dependent on QE policies? The recent softening in both the housing and employment numbers may provide some clues. We do not think that the economic backdrop is going to afford the Fed a hasty exit from its low rate policy. Housing finance reform seems to be giving way to campaign season while the quicksands of regulatory change are hardening, encouraging us to become more optimistic on the investment environment for our strategy. Even though mortgage spreads are not at historic wides, the steepness of the yield curve continues to provide attractive investment options in the agency market. Around this time last year, the two ten spread was around 160 basis points compared to 240 basis points today. At year end, we held leverage at 5 to 1, leaving us with tremendous buying power to augment forward earnings. To put it into perspective, we could purchase an additional 24 billion in assets, bringing balance sheet leverage to 7 to 1, and still come in lower levered than most others in the sector. With new money spreads approaching 200 basis points and the improvement in the landscape unless things change over the next several months we intend to opportunistically add to our position over the next few quarters. With our hedges at 92% of our repo balances, we do not expect to add meaningfully to the hedge position when adding assets. Looking ahead, I expect the market to be more concerned with contraction risks than expansion risk. So we are likely to allow for greater market moves in the long end, given we expect they will be short lived based on our outlook for tepid economic growth in 2014. As we allocate capital across the agency and commercial investment spectrum, we also consider share buybacks, buying other REITs, investing in MSRs, among many other things. When evaluating anything for investment we tend to focus on the simple economic, as well as the liquidity of these investments, with new money spreads at current level, it is more economic to lever up and buy assets than to buy our stock back. However, buybacks at the right valuation and market environment will remain an option for us going forward. Even though mREIT stocks are trading below stated book and theoretically allow for discounted purchases of the underlying mortgages there are other ways to accomplish this similar dynamic. I think of the mREIT sector broadly as a type of inverse floater. When short rates rise generally earnings go down. With an inverse floater when LIBOR rises the coupon goes down. Secondary market inverse IO are cheap to the repo levered MBS complied fair value by about 18%, which is comparable to the discount in the mREIT stocks. Within inverse you do not have to rely on good management, you get the plain facts from the numbers. During the 1998, ’99 period, mREITs were also trading at substantial discounts to book value for longer than they have been most recently. During that period there were agency REITs that turned out to own Russian debt, when Russia defaulted. We feel that capital is better spent buying inverse IOs cheap to lever MBS versus buying MBS 2 to 2.5 points cheap through the purchase of mREITs stocks. We also consider better ways to hedge our position and MSRs have been a popular topic of discussion. When we evaluate MSRs we compare them to owning IO, which is, which we have used for many years to hedge higher rate. As I have mentioned many times, no hedge works perfectly when looking at the economics -- no hedge works perfectly but when looking at the economics of the choices available to us, we consider quantitative as well as qualitative metrics. The IO market is fairly liquid. With our IO position yielding roughly 9% compared to some of the more aggressive and less liquid MSR yield of 6% to 9%, we are happy with our choice. If and when the economics suggest a better risk reward profile we will act on it. We are creating a more durable yet flexible business model to better handle the changing investment landscape, our agency position continues to provide the core of our earnings and allows us the flexibility to better offset deteriorating economic conditions. Our commercial investments allow us to more easily endure periods of economic strength that are usually accompanied by rising interest rates and provide a more steady income over time. The combination of the agency MBS liquidity and the commercial investment stability afford us a more durable income profile for our shareholders. We ended the year with approximately $2 billion in commercial real estate assets and successfully priced our first CMBS securitization earlier this year. We are currently in talks with a very large holder and originator of real estate that will give us exclusive access to certain of its originations. Our commercial investment portfolio yields 9.2% and now accounts for roughly 14% of our capital. We expect to continue to prudently grow the commercial position within our 25% equity allocation to assets other than agency MBS. After a very tough year for the mREIT sector, we remain optimistic about our ability to be the capital provider to the housing market for years to come. As I have said in the past, the investment discipline placed on REIT management teams who have to distribute 90% of our earnings annually, who don't have the benefit of retained earnings and rely on capital markets for growth are unparalleled in most of corporate America. I will now turn the call over to Glenn to discuss some of the financial highlights and afterwards we will open it up for questions.
Glenn Votek: Thank you, Wellington and good morning everyone. Yes, I will take you through just a few of the key financial highlights for the quarter. To begin, we reported net income of $1 billion, or $1.07 per share. The sequential increase was primarily driven by higher unrealized mark-to-market gains on swaps and to a lesser extent, trading assets in agency IOs. Our economic net interest income was up on lower premium amortization as prepayment fees declined to 7% from 13% the prior quarter, as well as the benefit of higher commercial portfolio investment balance as Welly had mentioned we continue to have good success in growing the commercial portfolio. Overall asset yields were 3.5% which was up from just under 2.9% the prior quarter. Interest expense increased by about $6 million on higher swap expense, partially offset by lower repo expenses. This translated to a higher cost of funds in the period of about 25 basis points. As swaps represented a greater proportion of our funding, Wellington had mentioned 92% of repo is now hedged versus 85% in the prior quarter. When you add that all up, our net interest spread expanded further to 143 basis points which is up from 107 basis point the prior quarter. Our core earnings, which excludes both realized and unrealized gains and losses on asset sales and derivatives, was $350 million or $0.35 a share; that’s up from $0.28 a share in the prior quarter, and our annualized core ROE was just over 11% in contrast to about 8.6% again in the prior quarter. Turning to the balance sheet, our agency portfolio declined about $9.6 billion to $73.4 billion, while the commercial portfolio was up about 30%. Repo balance is consistent with the decline in our assets as well as lower leverage was down about $7.4 billion, and our capital position remains strong at $12.4 billion. Wellington had mentioned, our leverage being down to 5x, that’s in contrast to the prior quarter of 5.4x. Our net capital ratio, which is another important metric that we look at in measuring the adequacy of our capital position, grew to just under 16%, which was up from just under 15% prior quarter. Book value was down a bit at $12.13 versus $12.70 the prior quarter. So on balance we feel good about the quarter. Our core earnings have been stable throughout the year. Our diversification strategy continues to advance with the commercial portfolio generating an increasing contribution to our results. So with that, Laura, we're ready to open it up for questions.
Operator: (Operator Instructions) And our first question will come from Douglas Harter of Credit Suisse. Okay. We’ll move to the next question and that is from Joel Houck of Wells Fargo.
Joel Houck - Wells Fargo Securities: I think the theme kind of, for me, Annaly and others last year was, you kind of want to see the taper happen before you get more aggressive. And it sounds like you have little more confidence. But I am interested in -- if you look at how the year plays out, the supply is not very great right now, so that the small taper really hasn’t changed much and certainly spreads have been well behaving, [inaudible] come down. But if the Fed actually goes to zero by the end of the year, it stays in its trajectory, are you still concerned about basis widening and perhaps you're still kind of cautious going into the second half of the year, given the notion of – it’s not over yet I guess?
Wellington Denahan: Yeah. No. I certainly would not describe our outlook as all clear. I would say that we will continue to monitor every aspect of the market that helps form our decision about how we proceed from a leverage perspective. What I will say is this economy has never gone through a period where you’ve had this level of stimulus injected and then slowly removed. So I do think that there is no precedent for what aspect of the economy has been supported by this tremendous amount of liquidity that has gone in. I mean we see it directly in the mortgage market but it has trickled through to a lot of other sectors of the economy and helped out. So it will be interesting how it unfolds as they start to move away. I’ll have Dave Finkelstein talk a little bit more about the basis and how it will impact the market from a supply perspective.
Dave Finkelstein: Sure. Thanks Wellington. Hi Joel. Let's separate the near-term from beyond the taper, I think over the near-term when we look at the supply projections both gross and net supply, we obviously are going to be in year where supply is relatively low. This morning we saw the cycle lows on the rebuy index, as well as purchase index. So from that standpoint, supply will be low, the Fed is still involved in the MBS market on an outright basis. I think when we look at what actual net supply or growth of the agency MBS market will be this year, most estimates have it ranging from about $100 billion to $150 billion in net supply. The Fed even with the taper will absorb that much supply in the first four to five months of this year, so the technical is for the year, certainly, on the positive side. Beyond that, one thing to note is that, the fact that the Federal Reserve does hold this large portfolio of agency MBS, and it will be a third of the market, it does change the structural landscape for agency MBS over the long-term. They've removed a lot of negative convexity for the market -- from the market and when we look beyond even 2014, the cost associated with hedging MBS for MBS holders will be relatively lower even beyond the exit of the Federal Reserves. So there are some fundamental factors that are favorable in spite of the fact that we do, we will not have this non-economic buyer in the market beyond 2015. But when we look to fundamentals in terms of lower relative implied volatility and cheaper hedging costs and the fact that the Fed has removed a lot of MBS from the hands of private investors over the last couple of years and they maybe back in the market to ultimately reinvest. So we're certainly constructive on the basis near-term, as well as even beyond.
Wellington Denahan: Joel, did that -- did we answer your question?
Joel Houck - Wells Fargo Securities: Yeah. Extremely helpful. Thank you very much both of you.
Wellington Denahan: Thank you.
Operator: And the next question will come from Mike Widner of KBW.
Michael Widner - KBW: Good morning, guys.
Wellington Denahan: Good morning, Michael.
Glenn Votek: Good morning.
Michael Widner - KBW: So just let me start with one real simple question. I was very surprised at the extremely low premium amortization in the quarter. I am just wondering if there was some one-time catch-up benefit in there or if you expect?
Wellington Denahan: Yes. We would not expect to see a repeat of that level of amortization, I refer to it as catch down.
Michael Widner - KBW: Okay. Catch down either way.
Wellington Denahan: Yeah.
Michael Widner - KBW: Could you guys maybe quantify it or at least put ballpark range on it?
Wellington Denahan: It's difficult to put an exact number on it. But I would say that it's definitely not going to be a run rate on the amortization level.
Michael Widner - KBW: Okay. So, I mean, I was, as I calculated, what realistic run rate is based on the seven CPR, I mean, it looks like there was probably somewhere in the vicinity of $0.08, $0.09 benefit this quarter, I mean does that sound ballpark right?
Wellington Denahan: Yeah. That’s ballpark-ish, right, yeah.
Michael Widner - KBW: Okay. Thanks. So, I guess, my other question. I mean, so thank you for the clarity and your thinking on MSRs…
Wellington Denahan: Sure.
Michael Widner – KBW: …and relative to IOs and that makes a lot of sense to me, although, I think you are the first to talk about it that way. But let me just see if you have any update on kind of thoughts of activities in elsewhere in the residential mortgage space. I mean obviously you're doing a good job on putting more assets into the commercial front, but there is also a lot on sort of the residential front as well. We see others doing things like Fannie series – sorry, Freddie series K multi-family and obviously jumbo is more and more of an interest to folks these days. So any thoughts on doing more in the residential side?
Wellington Denahan: We look at – I always like to boil things down to the economics of does it, first of all, does it compete with what we're doing and then what are the other frictional intangible drags on making the decision, whether it’s legal or accounting implications for making the choice. And then layer on top of that liquidity. And so the way the company is positioned, I think that we have a tremendously flexible yet durable position with the agency and the commercial barbell. Now the agency market was not the most advantageous market over the last couple of years with the Fed being the large participant that it was. But with that waning, I think it is competing handsomely to with other things that you can do in the market. So I would say there is nothing that glaringly cheap relative to what we're doing.
Operator: And the next question will be from Rick Shane of JP Morgan.
Richard Shane - JP Morgan: Just really one quick one, when we look at the 3.5% yield on the portfolio for the quarter, I am wondering if there is any true-up on the amortization that went through there that are sort of one time in nature.
Wellington Denahan: Yes. There is. Actually the gentleman before you asked the same question, but yes, there is. We would not expect the yield pick up from the amortization decrease to be an ongoing part of our earnings profile.
Operator: And next, we have Dan Furtado from Jefferies.
Daniel Furtado – Jefferies: So I guess, and a follow up to two questions ago, with the attractiveness or relative attractiveness of the [inaudible] space, I mean is it safe to say that the 25% cap on the equity side in terms of non-agency investments, is something that’s probably going to be with you for a while, or is that something you would look to potentially change over the near to intermediate term if conditions dictate?
Wellington Denahan: I wouldn’t characterize it as hard and fab and inflexible. So it would be up for discussion as the investment landscape changes and the relative attractiveness among the choices changes. We have been in discussions with our Board over the years about altering the size of that. Again we always want it -- we understand the complexity of combining strategies within one balance sheet, and always want to make sure that we are – we don’t get over our ski first of all and we don’t lose sight of the interconnectedness of the assets on balance sheet and making sure that they continue to complement each other in both their liquidity and economic profile.
Daniel Furtado – Jefferies: And then I don’t know if this is a proper forum for this question but over the last year and a half or so, I think there has been kind of the BMA change of Annaly in terms of spreading out past the agency space. Can you kind of give a glimpse to outside investors and analysts in terms of what are the things that you're doing behind the scenes to further enable that strategy? I get it may be kind of difficult to answer right here. But I am just wondering if there is anything specific that comes to your mind that really kind of personifies or highlight the changes that you’ve been making internally at the firm?
Wellington Denahan: Yeah, I mean we -- one area that has had tremendous growth from an investment standpoint is the commercial area. Over the last year I think we’ve probably added about 20 odd people to the investment team and also with that comes added infrastructure in our accounting and legal and all of the background that supports those investments. With the agency position, we have continued to add and augment the way in which we manage that portfolio. As you noted over the last year, we have incorporated other hedging vehicles and things like that into the position. And so, I would say generally, we have added a lot of talent as with any business as it changes and matures. You always have management changes and things like that that will occur. So we are no different from that normal process.
Daniel Furtado – Jefferies: Understood. Thank you for the time, Ms. Willa.
Willa Sheridan: Sure. Thank you, Dan.
Operator: And our next question is from Dan Altscher of FBR.
Dan Altscher - FBR: Thanks. Good morning and thanks for taking my call.
Wellington Denahan: Sure.
Dan Altscher - FBR: I was interested -- one, in the comment about buying under REITS, because we saw one of your peers do something similar. I was just looking if you can clarify, did you mean purchasing equity stakes from other REIT or purchasing entire companies?
Wellington Denahan: Well, I meant, stocks, equity stakes in companies but we have looked at companies over the years as we have been on and off on buying whole companies, we actually did buy a whole company.
Dan Altscher - FBR: Right.
Wellington Denahan: Another REIT, which was CreXus.
Dan Altscher - FBR: Right.
Wellington Denahan: But we -- as I mentioned in the 98-99 period, there was agency mortgage REIT out there that no longer exists, that was the darling of the day. And had you been lured into owning their stock, I mean, I think there is a lot of great managers out there and I think everybody should do what they think is the right thing to do. I’m just trying to clarify for our investors, the way that we look at things and the way that we analyze. But I don’t want to get pulled into the trade de jure without really taking an honest economic look at all of the aspects of being in that trade.
Dan Altscher - FBR: Sure. And that make sense and I appreciate that. And maybe just taking a question, maybe at different direction actually and maybe the reverse sense, an effort to maybe create value for shareholders. You have seen other companies do spin-offs or separations and obviously, Annaly has had a great franchise value with FIDAC and related entity there. But there will be a potential to separate FIDAC and to maybe its own publicly traded REIT or publicly traded asset management style company?
Wellington Denahan: We will always consider what’s in the best interest of the shareholders from a value prospective. I think FIDAC gains a tremendous amount of advantage by being an internally owned vehicle. But of course, we look at as we grow these businesses, do we get more value out of separating them from the parent?
Dan Altscher - FBR: Thank so much. I appreciate the time.
Operator: (Operator Instructions) And our next question will come from Kenneth Bruce of Bank of America Merrill Lynch.
Kenneth Bruce - Bank of America Merrill Lynch: Thanks. Good morning.
Wellington Denahan: Good morning, Ken.
Kenneth Bruce - Bank of America Merrill Lynch: Hi. I guess I am a little shocked, maybe is the right word to use about the change in turnaround QE, the taper. I guess over the past couple of quarters in our discussions, you’ve kind of characterized the market as wait till the taper actually occurs but we haven’t seen anything yet I guess. Could you maybe just juxtapose how you feel today, what changed the view in terms of your willingness to possibly step back into the market and lever back up? It just seem like the change around the thinking around the taper is quite significant.
Wellington Denahan: Well, with the FID actually engaging and reducing its position, has put the market in -- I think the market has sobered up a little bit about the implications for that lack of demand. And I think the mortgage in the up market shouldn’t be considered an island on the investment spectrum and so there has been a tremendous amount of beneficiaries from this policy that whether you look at stock market or you look at the housing market, or you look at the economy in general, that we will have to deal with a reduction in that stimulus. And none of us have ever dealt with that. Our economy has never dealt with the type of stimulus withdrawal that we’ve just been through. Now with that said, the forward guidance in the low rate policy out of the Fed is much more meaningful to a position that carries assets via short-term interest rate. So as much as they -- I think they will continue to taper come hell or high water but with respect to the Fed fund’s target I think that's another story altogether. And that they have already back down a little bit on some of the more firmness around their unemployment threshold and things like that. So for us I just want to let people know that we are going to be opportunistic when we are evaluating the market that 2/10s this time last year was around 160 versus 240 today, yeah do I think the long end is going to bear some volatility as the reality of this tapering sets in? Absolutely. But do I think we are going to have a straight shot at 4% on 10, no looking back and this economy is going to be just fine with it? Absolutely not.
Kenneth Bruce - Bank of America Merrill Lynch: Right, I guess you look at how the REIT market has played out in the last couple of months and just it feels like that, the market is being seduced back into thinking everything is – maybe not as strong as we thought it was just a couple months back. So I guess even when I see Annaly de-levering to rising rates and then basically discuss re-leveraging into when rates have fallen, it feels like we’re getting set up for the yo-yo of when or if rates do back up again?
Wellington Denahan: I wouldn’t character of those -- you know what 270 today on 10s we’re going to load the boat, that’s absolutely not what I'm trying to get across, is that we will be opportunistic in these moves around the volatility associated with this exit. And the uncertainty associated with the change -- the potential change in forward guidance and then the actual change in the forward rate. So the period of time where the Fed was in the market continuing to buy dollar prices were much different than they are today. The idea of participants that the Fed was always going to be a buyer and was always [inaudible] – is changed by them committing to taper. Now I was -- I find it ironic that the first female at the ahead of the central bank finally has – actually started tapering. So we will see as the markets unfold where opportunities are. I just don’t want to say we’re just going to sit back and watch it without trying to capture some of the volatility and the returns that go with that for the shareholders. That we are good 2 turns below the rest of the sector.
Kenneth Bruce - Bank of America Merrill Lynch: Right now, I mean you have been running a much more conservative position for a while and that's certainly you think one of the hallmarks of your strategy and that's why I guess I am reacting little bit to just the about-face and trying to understand what might be driving that?
Wellington Denahan: I wouldn’t consider it about face, I would just let people know that we will be opportunistic with the buying power that we have.
Kenneth Bruce - Bank of America Merrill Lynch: That’s fair. I mean we want you to do that. I guess maybe lastly in this – and others have touched on it but you had a little bit of a pause there in your prepared remarks when you discussed potentially investing in equities. I don’t know if that was delivered or just coincidence on the pause. But, I mean, is there any aside from the lack of interest in buying other managers given that you don't know what they may or may do over time? Is there particular areas of interest that you would like to introduce into the Annaly portfolio that that might be a way to pursue it?
Wellington Denahan: I will say that we -- and this is something we've done for years, it’s just look across the spectrum of opportunities that would be complementary to our business, whether they’re encapsulated in a BDC or REIT or whatever the vehicle may be. We constantly look at areas for investment that would make sense for us. So other REIT stocks and I meant to say REIT stocks at the time, yes, theoretically they look cheap to where they have been. Like I mentioned earlier, they're not as cheap as they were in the past or as long as they were in the past. And anybody who purchased at that time did very, very well had they helped for the long term. And you have similar opportunities today. Now the reason those companies did well is because they were opportunistic at the time and looking at the relative options for reinvestment of their capital. Like I say looking at the market today, the returns in perpetuity from investing in assets are greater than the returns from or the temporary returns from buying back your own stock. But looking at the investment spectrum, which is inclusive of REIT stocks, other REITs completely, as we did in the case of [CRASSUS][ph], we continue to do and have always done.
Glenn Votek: I mean, Ken, what I would just add to this specific question is buying a position in a relatively illiquid equity REIT stock, whatever that position is, making assumption 5% and up to 10%, there is discount on the front-end. There is friction with the fees obviously that you’re paying the fund of funds essentially, but what hasn’t been talked about is, when you want to monetize and then the relative illiquidity of these vehicles, of these companies that you take couple months to get out of the position of $100 million and $200 million versus the liquidity options that we have that Wellington’s mentioned just in the I/O market. So to me, it’s really not been important for us to focus on that type of option given the end liquidity in and out relative to what we can do in a day versus a couple of months, so there’s a lot of risk to your point on the outlook that I think we factor into the net present value of any sort of purchase.
Kenneth Bruce - Bank of America Merrill Lynch: Correct. Okay. Well, thank you very much. I appreciate your comments, your candor and the enhanced disclosure that you’ve provided over the last few quarters. Thank you.
Wellington Denahan: And I appreciate your candor as well. Thanks, Ken.
Glenn Votek: Thanks, Ken.
Operator: And our next question will come from Steve DeLaney of JMP Securities.
Steve DeLaney - JMP Securities: Thanks. Good morning, everyone.
Willa Sheridan: Hi, good morning, Steve.
Steve DeLaney - JMP Securities: How are you doing, Willa?
Willa Sheridan: Great.
Steve DeLaney - JMP Securities: I guess this is -- I’ll direct this to Bob. We hadn’t given him a chance to speak at this morning, I don’t think. What I’d like to see if you guys would do is, can you just kind of generally comment on the scale and breadth of which you’re trying to do with the commercial real estate platform? Well, you mentioned 20 new hires. I would be curious, how many people totally do you have now? And what I'm getting at is the goal here with Annaly Commercial to be sort of a full-service platform for borrowers or brokers. Are you looking at this as just taking more of a rifle shot approach at specific types of loans and investments? Thanks.
Bob Restrick: Hi. So I would say we are really a full-service platform. We are set up to have everything from originations to underwriting to closing to securitization to asset management. And we sort of set -- we’re really executing the plan that we can't develop in fall of 2012 and probably hit the -- got ourselves altogether as Annaly Commercial Real Estate group in the latter half of last year. And during that time, we put out over billion dollars in over 20 -- 20 individual asset and part of that effort too can be seen in the -- our first securitization, which we closed in end of January, which we have really great execution on. We’re able to tighten it after we issued it and have over 25 investors in that deal and that’s the plan going forward. So what we’re able to do is, look at all the opportunity in front of us, whether the first mortgages or mezz or B-notes opportunities and find the ones that we think are the best sort of risk-adjusted return for us that fits within the portfolio that we've been building.
Steve DeLaney - JMP Securities: Bob, those relationship build, would you’ve been consider quoting on conduit loans, just as an additional revenue source?
Bob Restrick: We, myself and our team have a lot of expense in the conduit space.
Steve DeLaney - JMP Securities: Yeah.
Bob Restrick: And I would say I’m very happy that we’re not involved in the conduit space.
Steve DeLaney - JMP Securities: Okay.
Bob Restrick: Very competitive market that -- it's a great one-way trade. It’s the way I look at it, it’s really a trade and we’re really investors. We have made use of the CMBS, the conduit market. I would describe what we do and the floating-rate CMBS space has really just matched our non-recourse financing….
Steve DeLaney - JMP Securities: Right.
Bob Restrick: …and it was meant to be. And in the conduit space, it’s really just became [inaudible] made a couple of points to move onto the next one. So we’ll do it opportunistically where we can get to -- we control the whole deal and have it at high leverage and have an opportunity to work with one of our investment bank partners and kind of lay off that first mortgage directly into conduit, we would do but it’s not -- I don’t see it as a real sustainable plan.
Steve DeLaney - JMP Securities: Maybe more is just a part of B-notes or mezz acquisition strategy but not…
Bob Restrick: Exactly.
Steve DeLaney - JMP Securities: …quick trade.
Bob Restrick: Yeah. On the other side of that, we frequently do mezz behind the conduit line is where we think it make sense whether it’s still good credit structure on the first mortgage.
Steve DeLaney - JMP Securities: That’s very helpful. Thank you. And Wellington, I guess, just one final thing.
Wellington Denahan: Sure.
Steve DeLaney - JMP Securities: Some one ask you about resi credit opportunities earlier. And just what I understood your relative value comments but just for clarity, in the past, your position has been that within Annaly per se that you would not look to invest in resi credit, that asset class was viewed as being the domain of Chimera. So I’m just curious if that is still your general position.
Wellington Denahan: That is correct.
Steve DeLaney - JMP Securities: Okay. Listen, thanks have a great day and….
Willa Sheridan: Thank you.
Steve DeLaney - JMP Securities: …a great quarter. Thank you.
Willa Sheridan: Thank you.
Kevin Keyes: Thank you.
Operator: And the next question comes from Arren Cyganovich of Evercore.
Arren Cyganovich - Evercore: Thank you. I just have a question. It's related to the comments that you have made about potentially laboring up the balance sheet. Obviously, it helped us a lot but I just want to help understand what kind of earnings expectations we can have going forward because obviously it would be meaningful if you went to 7x leverage?
Wellington Denahan: I mean I do -- I certainly did not want to imply that we are going 7x. I just wanted to put into perspective for people to understand what it means for us to go to 7 to 1 and still be lower leverage than most -- everyone else in the sector. But the earnings potential, I would put it as each turn of leverage approximately 30% to 40% pickup in earning power.
Arren Cyganovich - Evercore: Yeah. That mean, that definitely makes sense. So that’s why I was little sensitive to the topic. Have you added leverage at all quarter-to-date, obviously the book value has probably picked up some sort?
Wellington Denahan: We are not materially different from year end.
Arren Cyganovich - Evercore: Okay. And then your comments about not likely picking up your swap position. Is that essentially meaning you are going to be increasing duration risk as you go forward or are there other ways to manage that?
Wellington Denahan: No. That potentially what it means and I will say that with in light of where we are in the market today and what we see today. Yeah, we are fairly well hedged and so as we add incremental assets, we don’t necessarily expect the same pace on the hedging position.
Arren Cyganovich - Evercore: Do you expect to let your swaptions just run off or do you think you will continue to use those going forward?
Wellington Denahan: No. We will continue to use what makes the most sense for us and what we’re trying to hedge absolutely.
Arren Cyganovich - Evercore: Okay. Great. Thanks for the clarification.
Wellington Denahan: Sure. Thank you.
Operator: And our next question will be from Douglas Harter of Credit Suisse.
Douglas Harter - Credit Suisse: Thanks. I guess, I wanted to talk about -- you mentioned that you expect the environment to be volatile going forward, how you guys think about your kind of -- your tolerance for book value volatility in that type of environment?
Wellington Denahan: You know I think if you get overly concerned with trying to hedge out every little movement in book, you can sacrifice a lot of earnings along the way. And you know with the economic backdrop and I think the economy has relied heavily on stimulus that has come through six years of very easy monetary policy. And so we -- I think the economy is at risk of the retraction that is taking place in the asset purchases that will ultimately wrap -- the weight of policy will wrap in the forward rate guidance. So I don’t think you are going to have an economy runaway. There is a number of things you can point to. One of the things that we look at is debt to GDP. And just to get debt levels back relative to where they were during the 2000 period, you would have to have a reduction in the outstanding credit of about $14 trillion which is about the size of our economy. So I think the fed has -- their policies have been designed to make that debt burden easier to handle over the last several years, but ultimately whether you have the forward growth to support and to sustain that kind of weight, we’ve engaged in years of pulling demand forward and pulling profits forward. So as you try and remove that kind of crutch from the market, I think there is going to be volatility associated, but ultimately I think that things will settle down and you’re not going to have a runaway interest rate environment, where you can’t hedge or you can’t handle the fluctuations in book value associated with it. We did see the 10-year at what 3.02 at year end and we are 30 basis points inside of that now. Will we go back to 3.50 potentially? But I think the company is well insulated for that, but I will say we’re not going to try and insulate ourselves from every little movement out there as the economy attempts to adjust to this unprecedented retreat of policy.
Douglas Harter - Credit Suisse: All right. Thanks for that. And I guess your thoughts on, I guess, the spread duration and sort of the potential volatility or book value risk from that side?
Wellington Denahan: I will let Dave answer that question.
Dave Finkelstein: Sure. Again, our spread volatility quarter-over-quarter or our spread risk increased modestly and the reason being is primarily attributable to lower dollar prices from Q3 and to the year end. And so, as a result when mortgage dollar prices are lower, the duration extends and there is sensitivity to spread changes increases a little bit. Going forward, we are certainly cautious on the basis, but again we are constructive and we feel like it’s going to be a lowball -- relatively lowball environment and the technical are favorable. And so, we are comfortable adding spread duration.
Douglas Harter - Credit Suisse: Great. Thank you for that color.
Wellington Denahan: Thank you, Doug.
Operator: And this concludes our question-and-answer session. I would like to turn the conference back over to Wellington Denahan for any closing remarks.
Wellington Denahan: Yeah, I just want to thank everybody for participating in our call for the fourth quarter. We look forward to speaking to you on the first quarter and I want to thank my team for a job very well done. Thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.